Operator: Hello, and welcome to W. P. Carey First Quarter 2025 Earnings Conference Call. My name is Diego, and I will be your operator today. All lines have been placed on-mute to prevent any background noise. Please note that today's event is being recorded. After today's prepared remarks, we will be taking questions via the phone line. Instructions on how to do so will be given at the appropriate time. I will now turn today's program over to Peter Sands, Head of Investor Relations. Mr. Sands, please go ahead.
Peter Sands : Good morning, everyone, and thank you for joining us this morning for our 2025 first quarter earnings call. Before we begin, I would like to remind everyone that some of the statements made on this call are not historic facts and may be deemed forward-looking statements. Factors that could cause actual results to differ materially from W.P. Carey's expectations are provided in our SEC filings. An online replay of this conference call will be made available in the Investor Relations section of our website at wpcarey.com, where it will be archived for approximately one year, and where you can also find copies of our investor presentations and other related materials. And with that, I'll hand the call over to our Chief Executive Officer, Jason Fox.
Jason Fox: Thanks, Peter, and good morning, everyone. We entered the year anticipating uncertainty, and the uncertainty surrounding tariffs clearly proved to be the key theme of the first quarter. To date, however, that uncertainty has not translated into any direct impacts on our business. We've continued executing on the plan we previously outlined for 2025. We started the year with solid investment volume and have good visibility into additional deals closing over the near-term. We also remain comfortable with our ability to accretively fund new investments this year, including through the high end of our guidance range without needing to access to capital markets. While the potential impacts of tariffs are causing substantial uncertainty in the broader economy and capital markets, to date, we haven't seen any direct effects on the performance of our portfolio, whether through rent collections or re-leasing. And we continue to believe that our estimated potential rent loss from tenant credit events, which is embedded in our guidance, will be sufficient, even if tariffs put pressure on tenant margins later this year. Despite the uncertainty over tariffs, we have now resolved the situations with two of our top tenants that were experiencing credit difficulties as we outlined in our recent business update press release. Overall, we remain cautious on the environment, but are comfortable with the assumptions baked into our guidance and also see a path to the high end of our AFFO and investment volume guidance ranges. This morning, I'll focus on several topics: our recent investment activity and an update on our sources of capital to fund those deals, additional perspective on tariffs and an update on tenant credit. Following that, Toni Sanzone, our CFO, will review our results and guidance and Brooks Gordon, our Head of Asset Management is joining us to take questions. Starting with our investment activity. Year to date, we've closed about $450 million of investments with an initial weighted average cap rate of 7.4%, including the $275 million we closed in the first quarter. Importantly, with rent escalation structures averaging in the mid to high 2% range, the average yield over the life of the leases exceeds 9%. We also have several hundred million dollars of investments in our pipeline at advanced stages, the majority of which we expect to close in the next couple of months. In addition, we currently have eight capital projects totaling $117 million scheduled for completion this year. So four months into the year, we have clear visibility into approximately $570 million of deals for 2025 in a solid near term pipeline. It's important to note that the market for net lease real estate, which generally has long lease terms, is not as influenced by near term fluctuations in market rents and leasing velocity compared to shorter term multi-tenant properties. As a result, to date, we've seen very little disruption in net lease transaction activity. Furthermore, we foresee scenarios where sale leaseback transactions continue to ramp up as they can be very attractive alternative sources of capital for corporates and sponsored backed companies during times of market volatility. As a market leader in sale leasebacks, which typically comprise a large portion of our investment volume, we would be at a distinct advantage competing on new investments. Similarly, if mortgage lenders tighten their lending criteria, real estate private equity and other competitors that use asset level debt will become less competitive. In summary, we believe we will remain on track or ahead of expectations for the first half of the year. And once we have greater visibility into how the transaction environment is likely to play out over the remainder of the year, we see a path to raising our expectations for full year investment volume. Although we're mindful that the overall flow of new deal launches has some potential to slow amid the current climate of uncertainty. That brings me to our sources of capital. We continue to believe we have one of the lowest costs of debt in the net lease sector through our mix of U.S. dollar and Euro-denominated debt. Toni will discuss the details, but during the quarter we refinanced our Euro term loan, fixing its interest rate below 3% through an interest rate swap. We don't have any meaningful additional debt maturities in 2025, and at quarter end we were only minimally drawn on our $2 billion revolver. Our next bond maturity is the Eurobond maturing in April 2026, and our next U.S. bond maturity isn't until October of 2026. On the equity side, we're making progress on our plan to fund our investments this year, primarily through non-core asset sales. During the first quarter, we sold assets totaling approximately $130 million and are making headway on additional dispositions. In addition to that, we're currently in the market with a sizable portfolio of operating self-storage assets, representing about half of our total self-storage operating NOI. While it is too early to say what the exact outcome will be, we have seen substantial interest from self-storage buyers, and we're evaluating various options to maximize value, ranging from several smaller portfolio sales to a single buyer. We expect deal timing to be the second half of the year, and to the extent there are multiple buyers, deals may close at different times. We remain comfortable that we'll generate at least 100 basis points of spread this year between our asset sales and new investments. We will, of course, look to do better than that, but currently we're maintaining that assumption in our guidance model. More broadly, we believe our investment spreads are underappreciated by the market, as the narrative is often around going in cap rates, without any discussion of rent growth over the life of the lease. When you combine our ability to partially finance deal activity through European debt with our sector-leading rent bumps, we continue to feel good about our ability to generate growth through new investments, and we remain focused on putting capital to work this year. Turning now to our perspective on tariffs. While it's too soon to determine how tariffs can impact our business this year, we would highlight several points. Our portfolio is built to withstand downturns and periods of economic weakness. We focus on investing in large companies, which have greater liquidity and access to capital, and are far better equipped to weather economic downturns than smaller companies. Approximately 3/4 of our ABR comes from tenants that generate annual revenues of over $500 million. We own critical real estate with strong leases, and in cases where a tenant's business is restructured, we frequently don't see any disruption in rents. One of the potential misperceptions about our international portfolio is that it inherently faces greater risks from the direct effects of tariffs, compared to a purely U.S. portfolio. But in reality, the majority of our European tenants operate primarily domestically, selling into their local markets rather than exporting to the U.S., especially in industries like grocery, home improvement, and car dealerships, which comprise the bulk of the European tenants in our top 25. Industrial and warehouse properties have also been a focal point when considering the impacts of tariffs on the real estate sector, particularly the potential impacts on releasing and demand for space. In general, our warehouse tenants are not positioned in major ports or logistics hubs, where they might have obvious exposure to international supply chains. Because our leases are long, with leases representing just 1.3% of ABR expiring this year and 2.9% next year, the leasing and occupancy pressure that may be flowing through to traditional REITs will not be as impactful in our portfolio. Furthermore, to the extent the on-shoring trend continues, we think the value and importance of our industrial portfolio could be enhanced through greater demand for domestic manufacturing capacity. In fact, recent conversations with tenants have included inquiries and discussions on expansions, indicating that this is becoming more of a focus. The final and perhaps most important point I want to make regarding tariffs is that the current uncertainty over their magnitude and timing does not change the estimated rent loss we've accounted for in our 2025 guidance, which covers a variety of scenarios, including those in which we experienced incremental unexpected credit events this year. So we still feel good about the AFFO growth estimate we've guided to and continue to see the potential to increase it as we gain greater visibility into the remainder of the year. Before I hand the call over to Toni, I want to give a brief update on the significant tenets we've been focused on from a credit perspective, namely True Value, which is now Do it Best, Hearthside and Hellweg. To date, the situations with -- Do it Best and Hearthside have played out as we anticipated, which were factored into our initial guidance and covered in our recent business update. Hellweg's status is also largely unchanged since our recent press release. It remains current on rent, although it continues to face a challenging operating environment, including weak German consumer spending and a competitive do-it-yourself industry. Hellweg continues to work with its key stakeholders, including landlords and lenders to further improve its liquidity and those conversations are ongoing. In the meantime, we're actively reducing our exposure, executing agreements at the end of March to take back 12 stores, representing about 1/3 of our total exposure, with 7 stores terminated by September of this year and another 5 stores by September of next year. We expect to re-tenant most of those stores, achieving rents in line with their existing rents and to sell the rest. In both cases, with limited downtime. Those steps should help improve Hellweg's, while also giving us clear line of sight to moving Hellweg out of our top 10 tenants. Lastly, separate from the 12 stores we're taking back, we recently sold 1 of the occupied Hellweg store in our portfolio and have an additional 3 under binding contracts, further reducing our Hellweg exposure in the near term. I'll pause there and hand over to Toni to discuss our results and guidance.
Toni Sanzone: Thanks, Jason. Starting with earnings, we generated AFFO per share of $1.17 for the first quarter, an increase of 2.6% year-over-year. Our first quarter results and activity through April reflect a solid start to the year, keeping us on pace and even ahead of our expectations to date. We have reaffirmed our AFFO guidance range of $4.82 to $4.92 per share. As we continue to monitor and navigate current market dynamics, we remain cautiously optimistic that we have a path to exceed the 3.6% growth implied in our guidance. As Jason noted, we have good momentum on the deal front, and our guidance continues to assume investment volume of between $1 billion and $1.5 billion. During the quarter, we sold 9 assets generating total proceeds of $130 million. We continue to expect dispositions for the year to total between $500 million to $1 billion, with a large majority expected to be opportunistic non-core asset sales, including operating self-storage properties. We remain confident in our ability to generate proceeds from these asset sales at cap rates that allow us to accretively fund investment activity even above the high end of our guidance range. Contractual same-store rent growth for the quarter was 2.4% year-over-year and is expected to remain around that level for the full year. As a reminder, about 50% of our contractual rent increases are tied to CPI, positioning us well as inflation starts to rise as a result of tariffs, although the tailwind to our lease revenues would be more impactful next year and beyond. Comprehensive same-store growth for the quarter was 4.5% year-over-year, partly benefiting from the rent abatement for Hellweg during last year's first quarter as well as the commencement of ongoing cash rent this year from our warehouse leased to Samsung. Historically, our comprehensive same-store has typically tracked around 100 basis points below contractual. Although based on our current estimates, we're on track to do better than that for the full year. Leasing activity for the quarter comprised 16 renewals or extensions, representing 1.8% of portfolio ABR, which continued to trend positively, recapturing 103% of prior rents while adding 6.2 years of incremental weighted average lease term. Our AFFO guidance continues to include an estimated $15 million to $20 million for potential rent loss from tenant credit events. We currently have visibility into identified rent loss, which is expected to represent about 1/3 of our total estimate, including downtime on the Hellweg stores we're taking back with the balance of the reserve, reflecting the uncertainty of the current macro environment. We continue to believe that our estimate of potential rent loss will be sufficient and possibly conservative, even if tariffs put pressure on tenants later this year. Other lease-related income totaled $3.1 million during the first quarter and is expected to increase as the year progresses. Based on current visibility, we continue to expect other lease-related income to total between $20 million and $25 million for the full year, consistent with where it's been in recent years. On the expense side, both G&A and income tax expense tend to run higher in the first quarter due to timing and are expected to resume a steadier run rate beginning in the second quarter. For the full year, we continue to expect these expenses to be in line with our initial guidance expectations as provided in our earnings release. During the first quarter, operating property NOI totaled $16.6 million comprised of $13.6 million from our portfolio of 78 operating self-storage properties and a total of $3 million from our 4 remaining hotels and student housing assets. Excluding the impact of expected dispositions, our operating property portfolio would be expected to generate between $70 million and $75 million of operating NOI during 2025. However, as previously noted, a significant portion of our dispositions this year are expected to be sales of self-storage operating assets, which our guidance assumes occurs in the second half of the year. As we get more clarity regarding the timing of asset sales, we will update our operating NOI estimates accordingly. Non-operating income for the first quarter totaled $7.9 million, comprised of a $2.8 million dividend from our equity stake in Lineage, $2.6 million of interest income and $2.6 million of realized gains on currency hedges. Our guidance assumes the dividend from Lineage is held at its current level for the remainder of the year. Beginning in the second quarter, interest income will decline to a nominal level, generally less than $1 million per quarter, as we've now fully deployed our excess cash. While foreign currency gains from our hedging program are now expected to be lower given a weaker U.S. dollar, it's important to remember that our European cash flows and therefore, AFFO are positively impacted by a stronger year on pound, offsetting any decline from currency hedging. In total, we currently expect non-operating income in the low to mid-$20 million range for the full year. Moving now to our balance sheet and leverage. Our balance sheet remains extremely well-positioned with ample liquidity and very minimal near-term debt maturities. Following the repayment of the $450 million bond that came due in the first quarter, we fully deployed the excess cash we had on our balance sheet at year-end. We ended the first quarter with liquidity totaling almost $2 billion comprised largely of the availability on our credit facility. Our remaining 2025 debt maturities comprise less than $140 million of mortgage debt and our next bond maturity is not until April 2026. As previously announced, at the end of the first quarter, we refinanced our EUR500 million term loan, extending its maturity in additional 3 years to 2029, with an option to extend up to an additional year. In connection with this refinancing, we executed an interest rate swap, locking in an attractive all-in rate of 2.8% through the end of 2027, which further demonstrates the advantages of having access to euro-denominated debt and multiple pools of capital. Our overall weighted average cost of debt for the first quarter remained low at 3.2%, and is currently expected to stay around that level for the remainder of the year, supported by the excellent execution we achieved on our term loan. We ended the quarter with our key leverage metrics well within our target ranges, with debt-to-gross assets of 41% and net debt to adjusted EBITDA at 5.8x. The strength of our balance sheet, combined with our ability to generate proceeds from non-core asset sales, leaves us very well-positioned to accretively fund our acquisition volume this year without the need to raise equity capital. On an administrative note, we expect to file a registration statement this week, updating our existing shelf registration upon its expiration in May, which will include the renewal of our existing ATM program. Lastly, during the first quarter, we declared a dividend of $0.89 per share, with $3.56 annualized, representing a 2.9% increase over the prior year. Our dividend is very well covered by our AFFO per share with an expected annual payout ratio of 73%. And with that, I'll hand the call back to Jason.
Jason Fox: Thanks, Toni. In conclusion, we feel very good about how we've started the year and the progress we're making towards executing plans outlined in our previous call. We're tracking slightly ahead of the initial expectations we provided on investments, and we're actively working on the non-core dispositions we highlighted. So we continue to have confidence in accretively funding investments through the high end of our guidance without needing to access the equity markets. Although there are still a range of potential scenarios that could play out with tariffs. In most scenarios, we believe we have already accounted for this uncertainty in our initial guidance. We are very comfortable affirming our growth expectations, and we see the potential to raise guidance from here as we gain greater visibility into how tariffs, tenant credit and the transaction environment are playing out for the year. That concludes our prepared remarks. So I'll hand the call back to the operator to take questions.
Operator: [Operator Instructions] Our first question comes from Greg McGinniss with Scotiabank.
Greg McGinniss: Jason, you know that there's several hundred million dollars of deals in the pipeline. Could you just provide some details on cap rates, retail industrial split and U.S. Europe split on that?
Jason Fox: Yes, sure. So like always, our cap rates, spread across a range and sometimes that's a relatively wide range depending on a number of factors. We're still currently targeting deals in the 7s on average, and we'll probably guide towards mid-7s, which is where we ended last year. So it's where we were in the first quarter, and it's roughly where our price -- our current pipeline is priced as well. So that's -- and I would say that's generally the same across the U.S. and Europe. Obviously, Europe you can have even a wider range of cap rates depending on countries. But generally speaking, I think that they're relatively consistent within that range, and when you think about Europe, obviously, we have a much lower cost of debt in Europe, we're probably 150 to 175 basis points inside of where we could borrow in U.S. dollars. So we're seeing some pretty interesting spreads in Europe. In terms of pipeline, I think deals to date were largely weighted towards North America, but the pipeline, I would say, is maybe 50-50, maybe a little bit more weighted towards Europe. So we're starting to see activity levels pick up a little bit more there. And I think in terms of property type, it's maybe consistent with how we've allocated historically. It's going to be mostly industrial and warehouse, especially year-to-date. The retail side is a little bit light right now. But I would expect that to pick up some as the year ago. So pretty typical year, much of the deals are say a leasebacks, which is typically a theme for us. So no surprises there.
Greg McGinniss: Okay. And on the dispositions, which are helping to fund the acquisitions. Just to make sure I understood correctly. So it's 100 basis points under the acquisition cap rate? Is that right?
Jason Fox: Yes, that's roughly where we're estimating right now and kind of built into our guidance model. We hope to do better than that. That's probably a good number to use right now based on term visibility.
Operator: And our next question comes from Smedes Rose with Citi.
Smedes Rose: I just wanted to ask you, you sort of indicated that it seems like a reasonable chance that you'll be able to get on a path of acquisitions above the high end of your current outlook. In order -- if that happens in order to fund that, would you look to potentially sell more of the self-storage operating assets? Or I guess, maybe just sort of thoughts in general about funding anything above what's currently in guidance?
Jason Fox: Yes, sure. I mean we've talked about this before. I think that our kind of range of disposition, possibilities can include funding that would take us at 2% or maybe even through the top end of our investment guidance. So I think we have lots of flexibility there on how we think about that. I think that even if we go beyond that, I think that we have the ability to lean into storage even more, if we talk about the amount of stores we're selling right now that's kind of baked at the midpoint. It's about half of our portfolio. So we certainly can look at more storage, we also have other longer-term sources of capital such as the Lineage. Equity stake although we wouldn't expect that to be available to us anytime soon, maybe more near term would be the construction loan in Las Vegas. That's about $250 million, $260 million. And obviously, we have a fair amount of free cash flow as well. So I think we're comfortable to continue to fund deals without the need to be in the equity markets through this year, even if we continue to outperform on the investment side.
Smedes Rose: And I just wanted to ask you, you provided a comprehensive outlook on reducing overall exposure to Hellweg. It's about 18 months, I guess, in terms of to completion. If you need to, is that something that where you can accelerate if things go south more quickly for Hellweg relative to maybe your expectations? Or just kind of what's the flexibility there, I guess?
Jason Fox: Yes. Sure, Brooks, do you want to take that?
Brooks Gordon: Sure. Yes. So as you described, we've got a clear path to reduce that exposure over this year and into next year. I'd expect that to be cut roughly in half over that time frame. So we will evaluate a few other dispositions. Bigger picture, as we've said on previous calls, we're well advanced in any potential contingencies as well. So to the extent we have a path to take back more stores, we have demand for those stores at rents in line with the existing. There would be some downtime as we discussed, and Toni mentioned but that's fully contemplated in our guidance and our credit loss reserve. So there are other levers we can pull, and we'll continue to evaluate those. But as is, we have a good path, and we're executing on that path to reduce that exposure proactively.
Operator: Your next question comes from Michael Goldsmith with UBS.
Michael Goldsmith: You have exposure both the U.S. and Canada. And I know you've talked a lot about the tariffs or U.S. and Europe, and you talked a lot about tariffs on the call today. So maybe can you just talk about maybe the difference in some of your exposure in the U.S. in Europe and how tariffs could maybe lead this time? Is that a bigger tailwind for your Europe exposure? Was that a greater headwind? I'm just trying to understand the portfolio and how it will -- how your tenants are functioning in this kind of post-tariff world?
Jason Fox: Yes, sure. Europe is not a headwind. I think that's for sure. We've heard some of the commentary around that may create more risk within our portfolio. But I mentioned this earlier, the majority maybe even the vast majority of our European tenants primarily operate domestically. So they're selling into their local markets, they're not exporting to the U.S. and they're really not dependent on imports from the U.S. as well. So, these are industries like grocery and DIY and car dealerships, so they can comprise the bulk of our Europe tenants. Could it be a tailwind? Hard to say. I think, generally speaking, we like our European portfolio, but it's somewhat insulated and maybe isolated from what's happening here in the U.S.
Michael Goldsmith: Got it. And then just I know you've talked about the three big names on the watch list. But has there been any notable additions or removals from the list? I know these are three that have come up kind of came up pretty quickly. So I just kind of -- have you seen any impact from tariffs or tenant credit issues from the tariff? Anything that you're monitoring in particular?
Jason Fox: Yes. I mean, broadly speaking on the portfolio side, while tariffs, of course, are creating a lot of uncertainty, and we're hearing companies talking about tightening expenses and maybe pushing decision-making back on new capital spending, but we haven't seen any direct impacts based on tariffs and the performance of our portfolio. In terms of maybe kind of broader look at watchlist Brooks, I don't know if you have a comment on that?
Brooks Gordon: Just I think to reiterate, it's really best to think about it in the context of our guided credit loss reserve. We think that's the best tool to really model credit risk. That said, the watch list has come down substantially because 2 of the big tenants came off. So Do it Best and Hearthside. But again, we want to really focus on that credit loss reserve guidance.
Operator: Your next question comes from Jana Galan with Bank of America.
Jana Galan: Maybe going back to that question for Toni and Brooks. I appreciate the detailed guidance assumption, but that $15 million to $20 million of potential rent loss in the guidance. Does that also account for the expenses on vacant assets? And what do you assume for repositioning capital? Or will most of these assets potentially be sold?
Jason Fox: Toni, do you want to start maybe Brooks can talk about the second half?
Toni Sanzone: Yes. I think in terms of the credit loss, the numbers that we're providing are really on top line revenue, but I would say there is a factor built into our property expense assumption that takes into account some downtime there as well. So that's been factored in. It's just separate from the range that we provided on the $15 million to $20 million.
Brooks Gordon: And yes, just to add, downtime again, as Toni mentioned, is baked into our analysis. It will be pretty moderate. And capital expenditures, kind of TBD per store, they're not very capital intensive. These will be paving work and some facade cosmetics. So not huge capital expenditure amounts associated with the repositioning that tenant will perform their own fit-out.
Operator: Your next question comes from Anthony Paolone with JPMorgan.
Anthony Paolone: Just wondering, I think there was a little bit of occupancy slippage from 4Q to 1Q, and it seemed like you kind of addressed a lot of the credit items, and it didn't seem to be related to that. Just wondering what drove that?
Brooks Gordon: Yes, the occupancy slipped a little. There was some removals from the vacancy list and a couple of adds, really driven by 2 European warehouses where we did partial renewals with the tenant, where they say about 70% of the two buildings. And so we're seeking to backfill those. So that was really the net add. We have active transactions on the large majority of the existing vacancies, so we expect to check with that pretty efficiently over the course of the year.
Anthony Paolone: Okay. And just on that note if we look out, I guess, maybe next 18 months or through '26, like is there much in the way of like known vacates to think about just outside of like sort of watch list credit matters? Just known vacates.
Brooks Gordon: Yes. So I think, first of all, it's important to note that the overall scale of lease expirations over the next several years is quite small. So that's kind of the big picture. We have one warehouse -- parent warehouse properties in Europe in July that we expect a non-renewal on. That's about 50 bps of ABR, so in the back half of the year. That's fully embedded in our guidance, and we don't -- the guidance does not contemplate any lease up this year on those buildings. But we're actively marketing them and expect to lease them up down the road. But to be clear, it's not -- lease-up is not included in the guidance.
Anthony Paolone: Okay. And if I could just sneak one more in. On the self-storage operating assets, is there much appetite to do more net leases there? Or is it just more accretive to do sales and reinvest at this point?
Jason Fox: Yes. I think we still have the flexibility. I mean, last year, we leaned into some of the conversions there. This year, we think that sales are the best way to fund new investments, especially given the spread we can generate between what we're selling and what we're buying. But yes, I think that for the other half of the portfolio that's not being marketed right now, I think there's flexibility there and we'll have to continue to evaluate what we want to do. And it doesn't have to be all of one or the other, and we could sell some more, and we can convert some more as well. So I think it will depend on the situation at the time.
Operator: Your next question is from Spenser Glimcher with Green Street Advisors.
Spenser Glimcher: Just as it relates to the capital projects in progress, is there any concern on input costs or do you guys have pricing agreements in place?
Jason Fox: Brooks, do you want to take that?
Brooks Gordon: Yes. So the vast majority of our capital investments are really subject to guaranteed contracts. And where we do take any cost exposure, we build in very large buffers to that. So it's something we're certainly cognizant of, but the vast majority of our capital deployment is subject to guaranteed max price contracts.
Spenser Glimcher: Great. And then on the labor side, has there been any disruption to date or any concern there at all?
Brooks Gordon: Not that we've seen.
Spenser Glimcher: Okay. Great. And then just maybe one broader one. I was just hoping maybe you guys provide some additional color just on the makeup and breadth of competition in both the U.S. and Europe. I know you mentioned, obviously, the lending environment tightened. It's going to help keep PE and debt capital on the sidelines. But just curious how active you've seen debt capital players essentially been year-to-date?
Jason Fox: Yes. I think the net lease market has always been competitive and especially in the U.S., I think, over the past year or so, we've seen a bit of a pickup with some new private equity entrants, including some that are non-traded platforms. And as you mentioned, it's hard to predict how impactful it will be especially right now given that many of them will be focused on using higher leverage and that's gotten more expensive and maybe a little less reliable in the current environment, and as an all-cash buyer, that puts us at a pretty good advantage. So I think it's incremental to the competition. We've seen that historically. People come and go, specific asset managers when they may see an opportunity to add to AUM. Europe has always been less competitive, and I think that's still the case. There's really no one, new popping up there that's making any impact.
Operator: And your next question comes from Jim Kammert with Evercore ISI.
Jim Kammert: Given that you do so many sale-leasebacks, create your own lease, et cetera. In your discussions of late, have you been able to detect any ability to shift sort of the annual escalator in your negotiations upward or downward, Curious what the sellers and PE owners today are thinking about inflation and how that might impact? In the organic growth you can extract on the sale leasebacks.
Jason Fox: Yes, sure. I mean since the spike in inflation a couple of years back and really in both markets, but it's been more impactful to the U.S. I would say it's gotten a little more difficult to get those escalators into our U.S. leases. We still get them in Europe. It's more customary in Europe to have rent increases indexed to inflation. Right now, it's probably half of our pipeline, which mainly correlates to the European assets in our pipeline. But to your question, where we're not getting CPI-linked increases, let's say, in the U.S., we have been able to push through higher fixed increases. I think historically, we've probably been in and around the 2% range if you look back over the prior 10, even 20 years. But more recently, it's been kind of in the mid to high 2s on average, which many of our deals, even north of 3%. So I think our average year-to-date right now, the fixed bumps are 2.8%. So yes, I think the answer to your question is we have been able to continue to push through on the fixed bumps within the leasing. A lot of that is market specific. I mean we want to do our best to have our bumps track what we think market expectations are long term, and we're seeing some of that.
Operator: And your next question comes from Eric Borden with BMO Capital Markets.
Eric Borden: I appreciate your comments around no direct impacts as it relates to tariffs. But there may or may not be some tangential impact. So I was just curious if there's any tenants or any sectors or geographies that you're watching more closely as it relates to additional pressures?
Jason Fox: Yes. Maybe I'll have Brooks kind of weighing that a little bit, but it's probably worth noting that we did add to our disclosure in our IR deck, some new disclosure that breaks out our property types and tenant industries by region. So you can see a little bit more detail and again, we added, by property type and region. So I don't know Brooks, if there's anything broad you want to touch upon there?
Brooks Gordon: Not anything incredibly subtle. I mean we've taken the time to look at all of the industries. And as Jason mentioned, we've added some disclosure around that, so you can do the same. And we evaluated all the tenants within those and kind of characterize each of those industries in terms of our view of whether it's a direct impact and indirect impact or really more of just a broader economic sensitivity if there's a slowdown more broadly. The ones that are intuitive are the ones that we're certainly focused on paying close attention to ones with big global supply chains. But I think we feel quite good that our specific investments are with big tenants where our facilities serve the regional market. We have tenants that are very, very important to their industries. And so we're focused on them, but I think we're comfortable with them. Certainly, on the other end of the spectrum, we've got ample exposure to industries that we think will fare quite well, whether that's food retail or services like self-storage or gyms or education. So look, it's a big diverse portfolio, there'll certainly be impacts if tariffs are high and persistent. That's not clear right now. So we're paying close attention, and I think we feel comfortable with our exposure and looking to mine for opportunities as well especially in conversations with management teams, over time, we're going to be able to help them adapt and that's what we're good at.
Eric Borden: I appreciate that. And then more of a bigger picture question. We understand that you have a dearth of capital without having to issue equity, and that may even lead to hitting your above investment target for the year. But on the other side, your equity shares have performed well year-to-date, and your implied cap rate is below your investment spread target. So just curious, how are you thinking about issuing equity maybe in later '25 or '26, if acquisitions do continue to ramp and the market is -- continues to hold?
Jason Fox: Yes. Look, I mean, that's a good question for us to get, especially since we have had a good start to the year in terms of equity. But I think generally speaking, we can consider getting back into the equity markets if we see some more momentum. But the reality is we don't need to. We have a plan to fund our deals through this year, even if our investments are the top end or even above the top end of our range, we feel comfortable there. So I think it's purely opportunistic. We'll keep on monitoring what the best sources of capital are and at some point in time, certainly equity will be one of those. But right now, I think we're more focused on the non-core asset sales.
Operator: [Operator Instructions] Your next question comes from John Kilichowski with Wells Fargo.
John Kilichowski: Jason, earlier, you referred to that property-type diversification page, where you broke out industrial warehouse, thank you for that. And earlier, you touched on how Europe, you felt like your exposure in those categories was very levered towards the domestic side. I'm curious for your United States exposure, do you feel like you have a good idea of what portion of those are domestic versus international weighted in terms of their supply chains?
Jason Fox: Brooks, do you have any comments on that? You might be on mute, Brooks.
Brooks Gordon: Not specific changes in some of the observations we've made so far on the call today. I think important to note that across all our property types, the vast majority of what our tenants do, even if they're global companies is regionally focused. There is much less, for example, port-dependent trade type investments that we make. So that's really not our bread and butter. So while I don't have a specific percentage for you, I think where we've got some comfort is, number one, in the criticality of the buildings and that these buildings are serving businesses that are regionally focused. They're not generally speaking completely tied to kind of international trade dynamics. So there certainly will be some of that -- but I think that the vast majority are very much focused on our local markets.
John Kilichowski: Okay. And then on your credit loss assumption, and apologies if you said this earlier, have you given what percentage is Hellweg versus your kind of unknown buffer piece?
Toni Sanzone: No. Well, I think I can reiterate here, as we sit here today, we had line of sight to about 1/3 of the total reserve that's identified rent loss and included in that is the downtime on the Hellweg assets we expect to take back this year that Jason referenced in his comments. So that's part of the kind of the $6 million to $7 million or so of identified rent loss. And then there's another 2/3 of the reserve that's out there for anything generally broadly across the portfolio. So nothing specific for Hellweg in there. But I think we presume that, that 2/3 of unidentified would be sufficient to cover a number of scenarios and different outcomes around Hellweg over the balance of the year.
John Kilichowski: Okay. And then last one for me. Just -- it looks like there may have been a straight line write-down in the quarter. Anything to note there?
Toni Sanzone: No, nothing notable there. I think we had a couple of accelerations of intangibles, probably the Joan's tenant that vacated through the first quarter. So we did see a little bit of acceleration there, but nothing really notable.
Operator: Our next question comes from Jason Wayne with Barclays.
Jason Wayne : The same-store growth in Europe came down sequentially last quarter. I noticed there was a change in the same-store pool there. Just wondering what those changes were on a same-store growth was lower due to a change in property type. Lease escalator mix at all or extracting that.
Jason Fox: Toni, do you have a view on that?
Toni Sanzone: Looking at the total here. I mean, I don't think there's anything specific that stands out. I think on a year-over-year same store I highlighted here on the European side, we're seeing the impact of Hellweg, that's benefiting kind of on the quarter. On the contractual side, I think it's really just CPI coming down. So we're seeing our leases bump in the first quarter, the majority of our leases have rent bumps that are weighted towards the first quarter. And so that's really just based on where current inflation or even inflation over kind of the last 2 to 3 months before year-end was tracking. So I think it's really more CPI-driven than as opposed to specific tenant driven.
Operator: Thank you. And at this time, I'm not showing any further questions. I'll now hand the call back to Mr. Sands.
Peter Sands: Great. Thank you, everyone, for your interest in W. P. Carey. If anyone has additional questions, please call Investor Relations directly at (212) 492-1110. And that concludes today's call, and you may now disconnect.
Operator: All participants disconnect.